Operator: Good day ladies and gentlemen. Thank you for joining for the Ses Full Year 2016 results. I am Richard Whiteing, General Mananger for Investor Relations. Let me start by welcoming those of you joining us here in London, as well as those joining and listening in via the webcast and the teleconference call. I am joined this morning by Karim Michel Sabbagh, President and CEO; and Padraig McCarthy, CFO. In a moment, Karim and Padraig will present the key highlights and developments for 2016 and the outlook for 2017. This presentation is available on the investors section of the SES.com website if you do not already have it. As always, I would ask you to take note of the disclaimer at the back of the document. After the presentation, we will take your questions. And Steve Collar, CEO of O3b, is joining us by phone should you have any O3b related questions. With that, I would now like to hand over to Karim.
Karim Michel Sabbagh: Thank you, Richard. Good morning ladies and gentlemen. 2016 was a year of acceleration in executing our strategy, which essentially is about building differentiating capabilities in the four market verticals that we have been focusing on over the past four years. And we were able to execute on plan, deliver a 2.7 growth in reported revenues and equally important deliver a total backlog of EUR 8.1 billion, which represents a 10% increase versus 2015, and on a [Indiscernible] basis a 5% increase, which gives us great visibility into the potential of our business going into the future. And as we were doing this we were able to demonstrate the solid foundation of the business that we are serving and as we were doing that we were able to invest organically in our capabilities, future proof capabilities and also prosecute selectively accelerators, namely O3b and RR Media during the course of 2016. And equally important to us and to our board is that we have executed that plan within our financial framework. So being very consistent and very disciplined in how we are investing our capital and making use of the cash. Let me talk briefly about the four market verticals, and Padraig is going to spend a bit more time. Video continues to be the foundation of our business. It contributed 68% to the SES top line and continues to be a very robust foundation. I will talk a bit in more detail on the next slide. But the point I want to drive is on a reported basis, video is showing a growth of 4.7%. The foundation continues to be robust and equally important is that we are executing our strategy of differentiating on the existing platforms that we have, growing new platforms in international markets and bringing in the ancillary servicing increasingly to the client base that we are serving, and again I will be spending a bit more time on this. Enterprise, which now represents 12% of the SES top line, was down by 13% on a reported basis. Since mid-2015 we have repositioned our business in enterprise, so specifically either serving directly enterprises that have deployed networks across large regions or working very selectively with integrators, with whom we would have a seat at the table working with them and their clients, and making sure that we understand how we are enabling their businesses. And as we are doing this and as per our earlier discussion, we have deliberately disengaged gradually from the [Indiscernible] market, which is a segment where there is no differentiation and where we have elected not to pursue any further. And O3b certainly does face – brings in a very strong accelerator and therefore since going into 2017 we have a unique set of capabilities that will enable us to deliver growth in that particular segment. Mobility continues to be the highest growth segment in our portfolio, which represents today 6%, literally starting from a zero base three years ago, a 95% growth rate, and what is very rewarding for us is that we were able to demonstrate this both in aeronautical market as well as in the maritime market. And when it comes to SES, i.e. in our geostationary fleet, we were able to demonstrate this both across aero and maritime, and maritime being a new segment that we started serving in a targeted manner in 2015. And last but not least, government continues to represent 12% of the market that we are serving. It was down by 6% on a reported basis that is showing strength during the second half of the year. In fact during the second half of the year, our revenue went up by 7% compared to the first half of the year and certainly the foundations now look quite strong and I will leave it to Padraig to talk about the outlook for 2017.
Padraig McCarthy: Let me comment a bit on each of the market verticals. Video continues to be a very strong foundation for SES. As you will see, over the period of 2014 to 2016 we have sort of maintained and achieved a low single-digit growth in that particular market segment, and this was achieved again by being focused on what we wanted to do. First is accelerate the transition from standard definition to high definition. We have achieved a growth nearing 7% during the course of 2016. We are serving today close to 2500 HD channels on the SES network. That is the extent of the focus and the success of us executing on that particular strategy, and I'm sure you all appreciate that. The more successful we are in doing this, the more premiumization we can achieve on the services that we are delivering. Equally important is that conversation is that HD penetration now represents 33% of the total portfolio that we are serving, up from 31% last year. So one out of three channels literally is in HD. HD+ also our platform in Germany continues to make very strong progress. We have today 2.1 million paying subscribers, and continuing to show very strong growth, and last but not least is SES presently or at the end of 2016 to be correct is serving or is delivering 21 ultra-HD channels, up from eight in 2015. And certainly we continue to build on that fraction, and if you remember, one of our objectives in 2016 was to take this capability that we started introducing outside North America, and figure out the formula to enable us to offer this to the cable operators, and we were successfully in doing that, and certainly now we have the [Indiscernible] to sort of sustain that momentum. In the international market, we continue to be very selective in how do we want to grow, with whom we want to partner, i.e. in terms of pay TV operators, and so we are delivering today close to 2750 channels in the international market, SES-8 and SES-9 were very important accelerators, where into 1.5 to 2 years we have achieved the fill rates that we intended to achieve. Certainly SES-8 and SES-9 is well on that track and finally SES-10 is very well positioned. You will recall that in the case of SES-10 we have placed an existing asset in that neighborhood, and we started to see that the neighborhood way ahead of time. In fact we started feeding that neighborhood back in 2014. Now let me cover two points when it comes to video. One is, central to the SES value proposition is our ability to offer ancillary services across the value chain. Increasingly that is relevant to the client that we are serving. And with the acquisition of RR Media and its integration with SES platform services, MX1 today is the world’s leading provider of business to media solutions and end-user experiences. And to give you an order of magnitude, they carry day in and day out close to 2750 channels, serving 120 subscription video on demand platforms, and broadcasting close to 500 hours of sports content every single day. And talking about sport because that is one of the most differentiated content that we are delivering on MX1. These are illustrations of the platforms that they are serving. So the English Premier League, the Sky selected sports channels that we are carrying, the recent Eurosport agreement that we have with HD+ and what is very interesting is that Eurosport has got the rights from the Olympics. And last but not least is the NFL, where they have a multiyear agreement. And during this year’s Super Bowl, MX1 delivered content in 4K and virtual reality. I wish we have time today so I can show you this. We are going to leave this to the investor day in June. But it is really sort of is [Indiscernible] what these guys have done. I mean virtual reality NFL game with that particular game makes it special. But that is kind of the capabilities that we really want to bring into the market. And before I leave video, let me spend a minute or two on our European business, which continues to present very strong outlook going into the future. We are serving day in and day out 150 million households. That is the extent of the business that we have developed over the years, delivering more than 2650 channels. And what is very important to us is that we are delivering this in a high quality and in a most efficient manner, and efficient to the tune of less than 0.50 on average per month per household as the cost of distribution. That is the efficiency of the platform that we are delivering in Europe, and you have to remember that platform can deliver SD, HD and ultra-HD in the highest quality that we expect and the end viewers would expect. The growth outlook for Europe continues to be strong also because we have to sort of note that while we are serving the largest part of HD channels, that penetration remains equal to 750 HD channels. And so the penetration has moved up significantly from 29% over the course of 2016. Our thesis is that that level should reach 50% by the end of this decade and therefore that gives us further opportunities to grow our business in that game. We also have been first in developing ultra-HD in Europe. In fact if you remember, one of the first announcements that SES had put out in terms of commercial channels, not private channels, commercial channels, were in Europe. And last but not least is as we do all of that we are serving day in and day out the IPTV networks that are enabling close to 30 million households. And so from the outset, we have had a holistic approach in serving that particular market and we have taken into pieces and applying it, our market will grow in a hybrid environment and we will continue to be successful as the differentiation of our platform and the cost efficiency will give us the kind of visibility that we sort of demonstrated over the years going to the next decade. Let me comment very briefly on the element of the Sky announcement recently. So we were very enthusiastic when Sky launched the silver Q box last year, and if you remember, in our discussion, I sort of literally, I think I have said this is almost like it was an iPhone moment 2008 because it was one of the first hybrid complete platforms that we have seen that provided this English viewer experience. That was our conversation in February last year. And what is very interesting is that this platform has been very successful in the UK and Sky has commented on it. So I'm just reiterating what our client have sort of through our interface has been sharing with us and they have said publicly, and that success has also enabled them now to roll it out in places where it is going to be more efficient to deploy its platform and bring it to the household in an OTT format. And that is perfectly complementary to the thesis and to the business that we have been serving. And we have seen that that model working very well over the years and we will continue to sort of work within that model. In fact, MX1 has been serving the subscription video on demand platforms over the years or OTT platforms and that is perfectly compatible with the thesis that we have been pursuing. What gives us confidence going forward is the efficiency of our platform to distribute to the largest populations in the most cost-efficient manner and with a sustained quality. That is very important, and so our thesis of the hybrid environment will continue to prevail. Our investments will continue to prevail on both tracks and MX1 is the best demonstration of that environment. HD+ have made announcements recently that they are moving into a hybrid environment too, so their platform will be delivered over satellite as well as through OTTs, and that again is a demonstration of the viability and the [Indiscernible] of the two elements. Let me move to enterprise, where we have spent considerable efforts to our work SES as well as O3b to improve the business mix, to focus on the market where we can differentiate and also expand our value proposition. And what you will see through the presentation is that our Tier One market segment continues to be stable. We have deliberately – took a decision to disengage from these two markets. And obviously O3b has been focused from the outset on the Tier One market because of their value proposition and the need to sort of manage networks end-to-end. So going into 2017, we have a formidable mix of capabilities and what is very rewarding to us is that we were able to demonstrate the new positioning during the course of 2016, delivering managed services in some of the most challenging geographies and with some of the most demanding clients. Facebook is a case in point where we have developed an end to end network, terrestrial over our satellite network and all the ancillary services including the management of the data centers. And that will continue to be our focus going forward. Certainly O3b brings very differentiated capabilities on top of what we have done and so the combination of these two elements are going to give us very strong momentum going into 2017. Let me comment very briefly on the Facebook value proposition that we are bringing. So on the one hand, we are able to deploy assets in space and serving Facebook and the market that are relevant to them. We were able to deploy the terrestrial network that provides the last mile reached that was important to them working with local partners and equally important for them was an end to end managed solution. So we spend a lot of time working with them to sort of define these SLAs, provide the end-to-end solution including the data centers and that service has been ramping up over the periods when we have started serving them. Let me move to mobility, mobility has been our strongest – the highest growth segment that we have been serving. It is certainly an exciting segment. O3b has sort of created literally a new center – a new category in the cruise ship market. SES has been quite successful in starting from a zero base and gaining a very significant market share in the aeronautical market, and that has been a focus of the team, so the product managers within SES over the past three years. That is not just about providing the capacity. There is a lot of work that was done upstream thinking about the different solutions, the different layers of the network that will resonate with the different [operators], and we took it especially from the outset that we wanted to work with the top four, five [Indiscernible] partners because between the four, they are serving 80% of the commercial airplanes that are connected and/or that are contracted. So if we can develop a very close working relationship with them we have I think collectively the best opportunity to grow this market and sort of exceed along with our partners. And that has been our approach over the years and during the close of 2016 we have announced agreements with Global Eagle Entertainment, with Gogo, with Panasonic and with Thales, and each one of these agreements at the point when it was announced it was either the largest in the industry or the largest for this client or literally a business model that didn't exist, which we introduced Thales being a case in point, where we literally customized an asset to the requirements of their aeronautical market –in that case it was over the Americas. Now equally important is that during the course of 2015 and 2016 we started also introducing as an additional capability some of our existing assets, assets that were in inclined orbit because to our experience in the government segment these are very relevant assets from a coverage and augmentation standpoint for mobility, and if you remember through the initial Pathfinder mission this is where sort of this become very relevant to us, which was awarded to SES. We realized that we have very valuable opportunity to bring this capability to our client in aeronautical connectivity through both ways. It is very important. It is complementary to other assets that are being deployed and during the course of 2016 we were able to develop this into a product that is now part of the portfolio under our mobility approach. Last but not least is now with the tie up that we have with O3b we are increasingly finding opportunity where we combine these two capabilities together – that the immediate application of this would being in the maritime segment. Now moving onto how do we think about deploying our capabilities in this market. Our approach with each of the four integrator is one, to bring them onboard on our existing fleet, B, is to develop the future aspects, and I'm talking sort of [Indiscernible] 2014 with lot of inputs from their end and also considerable commitment. So this was SES-14 and SES-15 and now SES-17. And on top of this is bringing into this portfolio the assets that we have an inclined orbit that are providing this augmentation capability, and with that today SES is part of serving almost 90% of all commercial airplanes that are connected either partially or fully. That is the extent of the impact that we have in that market. Now let me move to the government segment. In government, we took a dual approach. One is we have the formidable capability serving the US government on the civilian side and with the Department of Defense. And our thought process back in 2014 is what will it take to expand this capability internationally in selected markets starting with our NATO and NATO-allied countries. So that was the first part. The second part was along our thought process in enterprise is how do we broaden our capabilities and create a path where we move from just a provider of bandwidth to a provider of managed services. And that sort of three year trajectory took us into 2016 and what we have today is an increasingly solid base in our US government business, B the opportunity now to serve increasingly governments outside the US. And during the course of 2016, there are two important wins, specifically in Europe. One of them has been publicly announced, which is the AGS System, which is the NATO system to connect their UAVs, specifically I think it was the Global Hawk, starting with our existing fleet and moving into SES-15, once SES-15 is launched. And that is the kind of success that we were focusing on is how do we replicate this capability knowing very well that the resources, the capabilities, the knowledge that is in the US has to stay in the US for the regulatory and legal reasons. Having said that, how can we replicate now these capabilities outside the US and build an equally competent [route]. And now increasingly this is part of our thought process. In fact you will recall that in 2015 in some of our discussion I did mention that SES introduced four market solution centers, and these became sort of the labs to provide to develop product and services in each one of the market verticals. This is a group of experts that is now probably about 50 colleagues who are based across the world. And these are communities that are single mindedly focused on these market verticals. And our intent going into 2017 is that the way we operate, the way we manage our business will be increasingly driven through these four market verticals, and that will give us confidence that now all the elements as part of the SES delivery system are aligned to the markets that we are serving. Before I leave the discussion on our results, let me comment a bit on the Trojan program because this is a very good illustration of what we have been doing. So Trojan is a program that SES has been serving for decades. We have been very successful in doing it. In 2016 it came to an end. So it was tendered again. But it was tendered with [requirement] particularly in terms of managed services. That is pretty much what the client needed and the client in that case was the US Army Intelligence and Security Command. So all highly sensitive missions. We won this program one more time. This is a program with a potential of $285 million, and what SES is delivering today is access to our global multiband network, and beyond the bandwidth what they are doing SES government solution is providing centralized network management and bandwidth management solution. And that is the capability that we have been building over the past few years. So we as the SES parent company have been working with SES government solutions to make sure that they bring onboard these experts. They have built the network centers and the network elements to be able to deliver these particular services and in no time they were able to stand up these capabilities. Before I hand over to Padraig, let me say a few words regarding O3b. So O3b will be increasingly integrated with the SES. So the O3b capability and the SES capability will be increasingly coming together. This is very important to us because O3b represents in our thesis, the best model to develop our capabilities for data-centric solution, and specifically a model where we can have the scalability and the flexibility of a distributed network. Why this is important is because on the one hand data requirements and data applications are going to go through exponential requirements of bandwidth, one. Two, we are going to have peaks of requirements in different regions and different locations. And three is these evolutions can happen at different speeds. Some of them may happen over a course of five years. Some of them may happen over a course of two years. And what is important to us is to be able to sort of match all of these requirements at the right time with the right capability. So we want to make sure is that we are not over deploying capabilities and then they are stuck in a geography, or we are behind the curve and we cannot serve these markets, or we are deploying capabilities and because of the time to market to bring them with the choices that we have made, in a sense we are not anymore best positioned to serve these requirements. And so with O3b what we are able to do is deploy these capabilities, specifically those teams where they are required across the map because these teams are fully flexible and deployable, one. The time to market opportunity is half of the time to market of the geo fleet. Three is the efficiency of the O3b fleet is multiples of the efficiency of the geo fleet in general. And so our thesis from the beginning has been that in terms of deploying a network that will be data-centric, O3b was the path that we have selected. We have also deployed data-centric capabilities on our Geo fleet through a hybrid model, and we always took a view these have to be complementary. So O3b gives us this potential to continue to sort of [Indiscernible] in that thesis, scalable, flexible and distributed network. That is going to be very important going forward because the sort of the legacy models will simply run into a number of issues that they will not be able to address. So we took that thesis six years ago, and now that thesis is coming to bear. And O3b literally has a five-year time to market advantage versus any other comparable fleet that people entertain, and was able to demonstrate that. What is also important to our whole process is we always took a view that in data-centric application, if we truly sort of serve the thesis that we can be an enabler to our client businesses and therefore as their business grow our business will grow with them. So the phenomenon of elasticity. That hasn’t been yet manifested in a consistent manner in the Geo space. And we have seen this happening in the environment of the [clients] in enterprise. O3b was on the other end of the spectrum. In fact Steve has reported time and again that x% of their client have come back and increased their requirement. And by the end of 2016 that increase now covers 65% of the O3b client, i.e. six out of 10 clients came back and [Indiscernible] their requirement being able therefore to demonstrate the elasticity phenomenon that we have or the elasticity advantage that we have been referring to and also reaffirming the role of SES being essential to the client’s business model. So as they grew we were able to grow with them. Now what is also very relevant to us is that O3b bats exactly in the same market verticals that will second our strategy, enterprise, mobility and government. In fact, 2016 was the year where O3b working with SES government solution were able to introduce this capability to probably some of the most demanding arms of the Department of Defense in the US and that has built very strong traction to us, and therefore Steve and his team along with SES government solution are pretty much now focused on continuing to grow this thing. Last but not least is we are now very focused to bring into operation all the programs that we have launched over the past three years and so we have a series of launches coming into this year and next year. So with SES-10, SES-12, SES-14, SES-15 and SES-16 by the end of this decade on a steady-state basis we have a program that can deliver an upside of EUR 750 million combined with our MEO fleet. So you have to remember the eight additional O3b satellites that are under production, and last but not least is SES-17 will by the end of this decade will be launched, and also is expected to create another incremental EUR 100 million, but what is very important to us is that each and every one of the assets that we are deploying is serving in a very targeted manner the four market verticals, either fully or partially and this part of our very focused strategy. Everything we do has to serve the capability system that are going to be essential in these four markets. And as long as we do data in a very selective manner, we will be able to sort of achieve the objectives that we set for ourselves for 2017 onwards. And at this note, Padraig hand over to you.
Padraig McCarthy: Thank you Karim, and good morning everybody. So, starting for the colleagues on the phone on Slide 16 and the financial highlights. These reported results include the consolidation of our media from the 6th of July, and O3b from 1st of August, and same-scope results exclude the impact of these two transactions. Reported revenue was 2.7% higher and was up 2.4 at constant FX. Revenue at same scope and constant FX was 2.7% lower than the prior year. The same scope revenue development reflects the washout of certain legacy items, and the second half revenues grew 5% versus the first half of 2016, and were stable versus the second half of 2015. Now, reported EBITDA was down 2.9% and the same scope was down 3.5%. The profit of the group of EUR962.7 million includes a one-off accounting gain of $495 million due to the O3b transaction and I will come back on that. And at 3.09 times net debt EBITDA, we were full in line with our financial payback after consolidating our media and O3b. And as Karim already mentioned, the contract backlog hit another all-time high of 8.1 billion, increasing by 10%. And lastly, the board is reaffirming the commitment to progress this dividend per share and is proposing a dividend per each share of EUR1.34 representing a total payment in dividend payment increase of approximately 17%. If we look at revenue in a little bit more detail on slide 17, the 2.7% lower same scope revenues included the legacy items which represented over 70% of the reduction. Now, I think these items are well known by now, it's covered many times, but they are footnoted on the slide just in case. This same scope reduction was well above the floor provided in our third quarter results which implies a 3.5% reduction versus the actual result of a 2.7% reduction. And just to give some more color per vertical. Video which represented 68% of total revenues continues to grow with the same scope increase of 0.4%. Now revenue development in Europe remains robust, with continued expansion of HD and also HD channel, as well as services growth including HD+ which now serves over 2 million paying subscribers. Over the last two years, average revenue per transponder in our prime European traditions such as 19.28 and 28.3 has either remained stable or increased slightly. And our main continental European tradition of 19.3, volume has also increased over this period, and today we have a current utilization at this principle position of over 90%. In addition, we've seen no material change in the length of Video contract for the country we've seen longer contracts, and looking ahead European revenues due for renewal in 2017 to 2018, represent approximately 1% of total annual group revenue. And to the end of the decade, approximately 2% to 3% of annual group revenue. And all of this underpins the robustness and long-term visibility that we have in this part of the business. Video revenue growth was complimented by the six month contribution of SES line which is ramping up nicely and it is as targeted 30% utilization at this stage. A few words on Enterprise. This represent a 12% of total revenue, it decreased 17.8% excluding the legacy items. Astra remote lines, we continue to focus on Tier 1 customers, differentiated manages services and point 2 mostly point application. And these revenues improved in the second half of 2016 compared to the first half. Lower revenue from point 2 point applications was the main driver of the Enterprise revenue at the time, representing which now represents 2% of total group revenue versus 4% in 2015. On Mobility, we continue to grow with a revenue up strongly 67.3% at same scope to 6% of total revenue and now also representing around 15% of the total contract backlog. We look at the fourth quarter Mobility revenues, these benefited from a commercial contract with an important upfront revenue which will also reoccur in 2017 and after that there will be ongoing revenue hereafter from this contract. Government, which represented 12% of total revenue was 5.1% lower after adjusting for the timing of the US hosted payload and here we saw a clear stabilization with second half same scope Government revenues become 7% higher than the first half of 2016. And indeed as in recent years, order revenue also includes important periodic revenue contribution which are not directly attributable to the vertical. And going forward, we would expect the annual contribution from the other line to reverse to a more normalized level of approximately EUR10 million at least for modeling purposes. Same scope revenue was enhanced by the contribution of our media and O3b, with our media delivering EUR63 million of revenues and O3b EUR50 million of revenues. And as already noted by Karim, O3b fully met their target and their revenues for the full-year increased by over 9%. Turning now to EBITDA, on slide 18. The same scope EBITDA declined 3.5% due to the lower sales. As this was partially offset by lower OpEx where we saw a 2% reduction in the overall fixed cost base of the company. The EBITDA margin of 73.7% at same scope was in the midpoint of what we've previously guided and reported EBITDA margin was 70.2%. This included a positive contribution from both our media and O3b which more than offset the one-off transaction cost. On slide 19, you see the benefits of SES's reduction in normalized CapEx and that this is now also beginning to show through in the depreciation line. At same scope, depreciation reduced by 4.5% at constant effect. Depreciation includes six months for our media and five months for O3b and while group depreciation is said to increase in 2017 with new satellites and extended goal, this will be partially offset by lower annual depreciation for the existing O3b fleet which will reduce by approximately $40 million. Slide 20, shows the movement in financing cost from 2015. Now, after adjusting for the high or less foreign exchange gain in 2015, same scope net financing cost were 20% or EUR31.4 million lower. We have also now fully refinanced the entire O3b debt at a one-off cost of EUR21.6 million and this means that we have been able to now secure the annual financial synergies of EUR60 million and these have started in January 2017. A few quick words on the order P&L items on line 21. Profit of the group of 963 included the O3b gain on the disposal of a non-controlling interest. This reflects the implied equity value of EUR1.4 billion compared to the EUR0.9 billion paid buyers here. The overall effect of tax rate was 10% or 17.7% excluding the nontaxable O3b gain and the same scope effective tax rate was 15%. If we move to slide 22, we see the backlog. So, we had obviously had strong commercial activities executed across the four verticals. This contributed to a further improvement in the fully protected backlog which now stands at historic high of EUR8.1 billion. The backlog grew by 5% at same scope and 10% including the future revenue contracted by our media and O3b. This also reflects the robustness of our average contracting and this has remained at around eight years at the same scope basis since the start of the decade. On net debt to EBITDA, on slide 23, the rating agency's metric was 3.09 times at the end of December 2016, with the IFRS metric at 2.65 times. This included the EUR2.2 billion of equity and equity-like financing completed during 2016 and therefore we have completed the consolidation of our media and O3b and we've done this while fully remaining within our stage of financial framework. Slide 24 shows the free cash flow before financing activities and acquisitions at EUR655 million in 2016. The percentage of 33% was a little bit below 2015, which benefited from upfront payments was fully in line with what we've seen since 2012, when we've seen an important step-up in this metric. On slide 25, we provide updated CapEx profile and we've added 2021. Now, the first point I would mention is that the overall CapEx in the periods '16 '20 has not increased, in fact declined slightly. And purely what you're seeing here is there's some change due to the timing of launches with CapEx for 2016 over a 100 million lower than previously expected. And also over 45% of the CapEx in '17 to '21 is currently uncommitted and the development in CapEx in 2018 includes the benefit of the completion of the 20% normalized CapEx reduction target. You will recall in our Investor Day we showed that we had already achieved 16% or over three quarters of this target and we will be updating in the next Investor Day where we are at the end of '16. Now, all of this CapEx profile does not yet include any potential synergies from increasing CapEx efficiency to a common GEO-MEO technology roadmap. And turning now to the outlook on slide 26. We've extended our capabilities across the four verticals and significantly improved the big the business mix and the growth profile. Our target has generated sustained growth in all four market vertical. This is supported by the improved business mix and the increased visibility from the substantial backlog which increased to historic high of EUR8.1 billion. Now, from quarter 1 2017, we will report constant FX growth on a like-for-like basis. This was assumed that our media and O3b have been consolidated for all of 2016. And on this basis, we're targeting stable to slight revenue growth across Video and Government for 2017, complemented by a return to growth in Enterprise and strong growth for Mobility. Like-for-like growth will ramp-up gradually as the year progress. SES's future revenue trajectory will benefit from the significant contribution of the ongoing GEO-MEO investment which Karim has outlined are expected to generate incremental annualized revenue of up to EUR750 million at stead-state utilization and this refers to the satellites that you've seen earlier that our plans we launched the GEO and the MEO ones between now to the end of 2019. EBITDA margin on a like-for-like basis is expected to be broadly stable for '17 and '18 and rising slightly hereafter, while operating profit margin is expected to significantly improve for more than 40% in the medium term. Now, having built the strong foundation, in the medium term to return in invested capital is expected to significantly increase to over 10% and the key drivers of this just to wrap up are delivering growth in all four verticals supported by operating expense leverage, reductions and normalized CapEx, and continued optimization of financing cost. And on that note, I will now hand back to Karim to wrap up.
Karim Michel Sabbagh: Thank you, Padraig. So, let me conclude on our objectives. And our single minded objective is to delivering sustained profitable growth and return. And there are three principles to that. First is that we will return to growth this year and demonstrate that across the four market vertical. That is our objective as stated by Padraig earlier. Two, is to demonstrate the sustainable foundation and the strength of our foundation at first four businesses but not just for me up by the course of depreciated capability. And in doing this, we will be able to serve our thesis which is that we will grow if we can differentiate and that differentiation can help us serve our objective of delivering sustainable profitability across all facets of our business. Now, differentiation means and essentialist means that we will have to continue to double on scaling up our capability in the four market vertical. We will continue to do that in an organic manner are some of the examples that I've mentioned to you. There may be selective accelerators going forward but these are going to be very selective over the next four to five years and equally important is that we will align increasingly the operating model of SES and our management to the four markets that we have served. And again the introduction of the VM's fees and the experience of O3b has been a phenomenal launching pad, launch pad and fast track mechanism for us to sort of move the entire operating model of SES towards a direction which will enable us to do two things. 1) Better serve each one of the four market verticals and 2) Is being able to do that more efficiently. And as we do this, we will be able to further align the way we are assigning capital and using our cash to serve our shareholders and our business. So one is that the strong operating cash flow will continue to fund our investment in the business, two is that we reiterate our commitment to a progressive dividend per share approach. And last but not least is that all the organic and selected accelerate is that we will pursue will be done within our financial prints. And on this note Richard, I hand it over back to you.
Richard Whiteing: Thank you, Karim. So, if I can just ask that we will start by taking questions in the room. If I can just ask finally for you to wait for a microphone and maybe the first one to Laurie.
Laurie Davison: Thank you very much. It’s Laurie from Deutsche Bank. The first question is if we look at your video slide, your same scope your year growth not grown in 2016. It was 1% in 2015, it was 3% to 4% historically. So why is this not growing because the thing is that TV channel count going up, put more HD channels, put more Ultra HD and what was the SES-9 contribution within that as well?
Karim Michel Sabbagh: Yes, thank you Laurie. So first of all, there is growth in same scope. Maybe it doesn't come out too well in the chart, what you see 1,337, 1,342, we had growth of 0.4% in same scope in 2016. The dynamics that are at play there is, on one side we continue to grow our HD penetration. We also see step up and growth because of the 21 commercial Ultra HD channel. We continue to grow in emerging markets. And now for SES-9 which came into service in middle of the year was about 30% of the capacity contracted which ramped up evenly. We continue also to see growth in the services business where HD+ now today serves over 2 million household. And as I said the European video business is very robust. And on that point Laurie, we have seen pricing being stable or slightly increasing and there has been no exception to that development during 2016. And so, on the other side of the equation we also have the transition from impact t to impact 4. And on the transition from impact 2 to impact 4 there is less capacity required there, but from that point of view we are already over 60%. And the last element to take into account when you speak about the growth in channels is just recognizing that the average price per transponder in the international market is at a lower level than in the developed market under our quite strong growth in the international market. But as I’ve explained many times we structure our CapEx in our business there so all that delivers the same return on invested capital. So the Ultra HD, it's HD, it’s the grow the service business and very robust European business, grow an emerging market. And then on the other side we’re very advanced on the impact 2 to impact 4 compression.
Laurie Davison: Okay to be just clear here, because that number if we took constant FX there is going to be no growth there. In terms of – and just to go back here, what was SES-9 capacity contribution because all those factors you highlighted are contributing to no growth?
Karim Michel Sabbagh: No, the growth is 0.4% Laurie, I mean there is capacity comes in and there is capacity comes out and I think overall what you have to look at is that this business has been growing over the last three years and it's been growing also when there is minimum monthly capacity going into it. And the positive factors I have outlined and you have to see all that also in the fact that we are now on the other side of the pendulum when it comes to compression, which would have been the element which would have been going against the growth factor.
Laurie Davison: So, just to be absolutely clear here the 0.4% is that on constant FX?
Karim Michel Sabbagh: Yes that's constant FX. Sure. That's constant FX.
Laurie Davison: Because 0.4 is FX, 0.4 is that based on the slide which is as reported.
Karim Michel Sabbagh: The 0.4% increase is same scope constant FX.
Laurie Davison: Okay. But it does include SES-9 but we just haven't got the numbers for how much exactly there?
Karim Michel Sabbagh: Correct. We don't give individual numbers because that leads, but as I mentioned it's very easy to work it out, it's around gradually – and is taken out of 30% success which had –
Laurie Davison: Okay. And then the second question is just on your outlook for 2017, when you are talking about slight growth, how much of that is from RR media and the needle?
Karim Michel Sabbagh: Yes, we don't really look at the growth in terms of saying how much of it is from the service company, how much of it is from an infrastructure company. When you look at the business today we are providing an overall customer solution. And what we see more and more is that the services businesses are enablers for the growth of transponder capacity. I think the important message is that we are saying that the video business will continue to show slight growth or to remain stable and driven by all the factors that I’ve outlined.
Laurie Davison: And then the very last question is that you mentioned, you haven't put into guidance the synergies, can you just help us how to think about the quantification of those? 
Karim Michel Sabbagh: Well, I will talk about this sort of thesis on the concept and less about the quantification. First, the first manifestation synergy has been realized and continue to be realized through the financial synergies over the course of 16 and 17 I think that we’ve covered these and discrete in earlier briefing. There is now increasing synergies that we are seeing in terms of business generations on the revenue line and that is manifested in the market vertical, enterprise, mobility and cover. And the third, very sort of promising synergy that we are seeing now is our ability to think through the deployment of the future fleet, particularly the fleet that with sort of the data centric market in a manner where as opposed to replacing existing geo program we can sort of move straight into a new generation and therefore we will be able to bring into use assets faster to market, more efficient from throughput and cost efficiency i.e., the cost of delivering that throughput whatever the unit is. And not having to replace this with a geo type asset that may not be best position going forward. And some of these considerations have already started during the course of 2016, we could not consider that through the acquisition. Now we’re in a position where we are 100% owners of O3b and with O3b working together, it is not single budget discussion, us saying how do we best serve these enterprise, these mobility, government solution going forward there is going to be further synergies on how do we deploy our CapEx. So which means that we may be in a position where we will have to deploy a lower number of spacecrafts going forward, geo spacecrafts or will be able to deploy spacecrafts that are much more performing. So the return on the investment will be much more accretive to us. And that we are in the middle of this particular consideration and Laurie you will remember that one of the things that I talked about and I think Steve talked about this and Martin particularly I think covered this in the Investor Day is, we are working very closely with our industrial partners to make sure that we are creating platforms that can work across the geo and that we are well advance on that particular. I hope this is useful.
Laurie Davison: Thank you. 
Eliska Mallickova: Thank you. Hi. It's Eliska Mallickova from Morgan Stanley. Just a quick question on wrapping your revenue guidance, could you give us some color on how enterprise is doing maybe outside of O3b so excluding the point of time which is now just 2% to 3% of your revenue. What are the underlying trends in that business?
Karim Michel Sabbagh: Sure. So we saw good stabilization in the second half of the year as I mentioned in the presentation in what we call the tier one revenue. And in fact, we saw that these revenue second half compared to our first half increased in a mid single-digit level. So we are seeing that business is trending up in the right direction. And yes and as you are quite rightly said on the tier two business that now is also stabilized at around 2%.
Eliska Mallickova: Okay. Thank you and just on the cost since some of your peers are able to see recovery and margins and maybe putting through some cost improvements outside of the dilution of the O3b and RR Media the services business. Do you think there could still be some room for you to do something on the costs beyond maybe for the underlying business beyond O3b and RR Media?
Karim Michel Sabbagh: Sure. I think the management of cost is a perceptual and continuous activity and in 2016 for the overall fixed cost base of the company we reduced that by 2% but of course, as we go forward we continue to have the normal business of -- and our normal philosophy is to drive down fixed cost every year. And then on top of that we have the opportunities of looking at how to most effectively coach markets and also continue to look for synergies as we scale up. Remember in the business and also for O3b, remember that the fixed cost base you have a certain fixed cost base and then as you leverage the business you are getting a lot of leverage off of that fixed cost base. So it’s both leveraging the fixed cost base but it's also about continuing to reduce the fixed cost base and making sure that we are really focusing on reducing what we call the bad cost and at the same time that we are investing in the good cost.
Eliska Mallickova: Okay.
Sami Kassab: Thank you. I’m Sami at Exane and I have two questions please. First, you argued that legacy items were part of the explanation as to why revenue decline in 2016 versus 2015, how much of legacy items do you have going into 2017, is it the same as the old one or new of the type of legacy items?
Karim Michel Sabbagh: Yes. So these legacy items will have washed out during 2016. So none of those come in and the only other factor and I think I mentioned that is that you also have, we also had around €40 million of other revenue, this is from the – we used our fleet, we have information, it’s very, very strong year there and there that's the business where going forward we are talking about €10 million. But what we have seen in recent years is that also tends the price the upside. So I would look at legacy items but you should consider that it was quite high other revenue in 2016 and that's the kind of normalized model of that as the €10 million going forward.
Sami Kassab: Thank you. And secondly, can you comment on the government outlook with stablish revenues for 2017, stronger second half?
Karim Michel Sabbagh: The short answer is yes. We have seen a nice stabilization and going into 2017 that is the plan. The upside for us here is that we made the decision early on to before we replicate these capabilities and before done internationally specifically in Europe and we are seeing now the -- many of the significant contracts specifically the two that I was referring to earlier while they were signed in 2015 taking effect, will come into effect in 2017 onwards. These are multiyear contracts, AGS was one of those and that was during the fourth quarter. So the short answer would be one of considering that the U.S. government business will stabilize. At the same time there are going to be growth dynamics in this particular business because increasingly the O3b and SES government solutions will be working together. So there won't be slip between this. There will be joint team prosecuting that business as we start to doing in Q4. So that is one. And two is the expansion of our capabilities outside the U.S. government. In fact, I think we have the number in our presentation and the press release we are serving today, 62 distinct clients in that particular category and we are making sure that we have the capabilities we require to do this. And I do appreciate that we stood up and invested in these capability in a cost neutral manner which goes back to what Padraig said is, we are very careful in sort of making sure that we eliminate what our CFO likes to refer as to bad cost and we are able to redeploy some of these gains into the new areas that in our thesis were accretive to our differentiation.
Sami Kassab: Thank you.
Sarah Simon: Sarah Simon from Berenberg. Three questions please. Just on video, you talked about accelerating growth beyond sort of it was up stable. Is that relating to new capacity or is that more about the fact that you say you are able to hunt for the impact that’s the drag. And just on video, is there way we should think about it as a stableish kind of business in terms of revenue and EBITDA with materially reducing CapEx so sort of cash flow growth that's then funding the higher growth the first question? The second one was on the CapEx slide here, there is obviously a very, there is a lot of powerful and much less committed. When do you need to start really spending on replace or rather how much of that powerful is incremental [indiscernible] rather than replacing what you have got. And then, the third question is just back on the backlog, how much of that backlog is video, can you tell us of the average duration of those video or remaining duration of the video? Thank you.
Karim Michel Sabbagh: Okay, thank you, Sarah. So, on the first one the answer is yes. The video business will continue to be very cash accretive and growth coming indeed from the fact as I said to the response to Laurie the fact that we are at the other side dependent on the compression. Whereas, our launch profile we do have additional capacity going up in SES-10, we have some additional revenue opportunity in SES-11, we have SES-14, we’ve SES-15. We also have an extra capacity here. And then, on the other hand of course the normalized CapEx reduction, you see in the numbers previously figured up as depreciation this is all helping to have a more efficient cost cut which also benefit very much the profile of the video. And on the question, just moving to the question on the CapEx there is 45% of this CapEx which is as at this point in time uncommitted, but Ross is the expert here, but my recollection is that it's about 50:50 between growth and replacement. And as you know under replacement title, the replacement title is predominantly tighter which talks towards the end of the program here and so there was a third, did I answer your second one?
Padraig McCarthy: That was the backlog.
Karim Michel Sabbagh: Yes. On the backlog yes, so video is representing to date approximately 73% to the overall backlog and as I said in my presentation we are seeing the video contract and also the contract that can be up for renewal either being renewed at the same link or in longer period. We are not seeing a demand in the market and move to shorter term renewal.
Sarah Simon: [Indiscernible]
Padraig McCarthy: Well, it's more than the average. It's more than the average and as you know we have always said that for many years that the standard link that the video contract is 15 years but the trend that we’ve seen is that as Karim outlined earlier this is a fantastic infrastructure that gives you enormous to reach at a cost of serving a household at $0.50 and therefore when our customers are looking for renewal there is a great value to have the long term security of the access to that infrastructure and that we have seen reflect in renewals where the tendency is to also look potentially at longer contracts.
Karim Michel Sabbagh: What has been interesting to us is our ability also to execute the team discipline in the new growing segments specifically in mobility where the average backlog is longer than 8 years. We have been recurring so this is one and two in some of the larger government contracts where we have to deploy a platform with our client and that platform would require for significant lease-on the commitments are also quite significant and we are talking about decades plus in some of these cases and these are some of the largest agreements that we have which is a significant departure from some of the practices that we have seen during these sequester years where you’re awarded contract it maybe for multiple years. but effectively towards year-by-year, at the end of every year you have a gate whether this is renewed or not. It's largely renewed but in that case it doesn't show in our backlog. That's why we talk about fully-protected and on exactly the fully-protected just to remind everyone that the way we measure backlog is that this is the backlog which is contractually fully secured. Now in the government business, in the U.S. government as everybody knows quite often the contracts, the preamble contract stay for five years, for four years and for five years but from the government budget point of view they are renewed annually. So in our case we are only taking to one year in that backlog. If not a reality those contract last much longer and if you move from the fully-protected backlog of what we call the net backlog or the gross backlog which is also used in other areas, but we are conservative you add over a billion Euros to the number of we published today.
Padraig McCarthy: One of the thesis going forward is if we can truly differentiate and create these platforms the platform will create greater stick in it even in the enterprise. And we are seeing business in some of the areas that -- I think there was a question. 
Unidentified Analyst: Just two questions please. Firstly, I am just thinking about the stable EBITDA margins for 2017 and 2018 is it correct to characterize that as some margin dilution given the mix of revenue growth is changing and then cost cutting to get back to stable revenues or should we think about it as the mix of revenue growth as margin neutral and then any cost cutting would be in excess and therefore you might have some upsides to margin? And secondly, just to come back on the other CapEx side that for the moment thinking about the Investor Day there was a slide with 2022 CapEx of 555 and you have mentioned that you are not including the geo potentials of synergies but are there any moving parts between that 555 potentially in 2022 and the fact that you have gone up 610 in 2021?
Karim Michel Sabbagh: Yes. So on the second question just the quick one if I recall, in the Investor Day we are providing guidance around what we call normalized CapEx. In that you are mentioning I think it is closer to the normalized CapEx. What we are looking at here is not a normalized CapEx, what we are looking at here is according to our internal projections what the absolute amount of CapEx has been. So if there is any scope changes, I have tied it to normalize CapEx that’s in here as well. Now in the Investor Day we said the 18%-20% normalized CapEx reduction for the end of 18 fully on track on that will probably be there earlier. But then, you will also recall we said between 18 and 22 we had another 15% to 20% reduction normalized CapEx and that's also before we bring in the GEO/MEO of fleet synergization. And so all that consistent with these numbers the difference is that we are now showing in 2021 a normalized CapEx there we are showing more what eventual CapEx will go which may also include scope and fleet.
Unidentified Analyst: Would you extract that go beyond 2022 then the implications would be that potentially the CapEx to below than 550, I think it's a follow up on the -- when you actually get replacement CapEx?
Karim Michel Sabbagh: Yes, absolutely, absolutely. Yes.
Padraig McCarthy: For two reasons. One is because we are working with our industrial partners to produce the future satellite in a more cost efficient manner so either time to market, two is the platforms and the sort of the digital equipment that we are deploying and I think Martin will still give the phenomenal demonstration during the Investor Day. I mean just by moving from today's processing capability to fully digitized processing capability you’re taking literally on this particular element half of the way to platform so that already gives you an order of magnitude of where we want to go. Plus I think we will have a unique position as mentioned earlier to this side, what is the best way to deploy these assets in GEO/MEO -- so there are going to be multiple opportunities for us to think about the number that is lower than what has been indicated.
Karim Michel Sabbagh: Yes and on the EBITDA margin what we are seeing on the EBITDA margin is indeed as you said that there is as we introduce more and more customer solutions there is a mixed impact. Now I want to stress that the return on invested capital that we are generating today on our services activity is in the teens so and that's after those business pay normal market rates for the transponder capacity. So those services businesses are highly accretive to the overall return on invested capitals which is why by the way in our outlook you see that we are also speaking about return on invested capital because there is so many things that are going on in our business below the EBITDA line, EBITDA is very important which you miss the full picture as you go below the EBITDA line, those businesses need CapEx and we just been discussing very important reduction on the CapEx. On the cost part in general, the term cost cutting I don't like because for me it's all about cost management and it is not like you spend money, you shouldn’t spend and then you come every couple of years and here I am cutting costs. So for us this is continuous obsession in reducing the OpEx. I think if you look at our numbers on infrastructure over the last four to five years we have had a negative CAGR of I think about 2% to 3% by that same time we significantly grew the business. And it's also about value. I mean what we have done in putting the lines within the last two to three years is that we have increased the amount of sales people and the presence we have in all the emerging markets by 250% but at the same time reducing the cost. So the margin is function of the mix but the margin is very important indeed, but you have to look at what's happening in return on invested capital and it's about continuously managing our decisions about where we want to invest and that's how we look at the OpEx and continuing to get synergies there including the ones we get from steel but also the ones we get from daily business. I run the vendor management activity for non-satellite across the group about a €300 million a year spend and every year we are getting couple of percent out of that that’s CapEx, so it's cost management is very important for our business.
Unidentified Analyst: Just a question on what medium term means in terms of getting over the 10%?
Karim Michel Sabbagh: Yes. So the medium term for us would be as you get towards the end of the decade, I mean where we are today and that is from the like-for-like point of view because we have been investing heavily, position our business in a very good position today because we have very strong business mix going to double-digit territory as we move on towards the end of the decade.
Padraig McCarthy: Because this question came up number of times, how do we think about our operating investment? So every I would say January, February, we sit together and we reconfirm the principle of our financial framework and we have sort of introduced this concept, I remember vividly three years ago. And this becomes the framework to which we think about our investment whether they’re capital, operational or investment and it's the platform that we use to align also with the Board of Directors but also with the 2,000 members of the SES community. So it's a very transparent tool and so that is more important to us to make sure that everyone understands what the principle of investments are and that this is not just the sort of the one man agenda of this year full because this is going to be more sustainable and successful going forward and operational optimization has been at the heart of what we are doing. Where we haven't sort of necessarily communicated all that you have done internally to realign the capability but adding the full time equivalent -- referring to in a cost neutral manner and making sure that the entire community remains committed to what we are doing. That has been a phenomenal achievement over the past three years. And we expect further alignment as the one I described and further efficiencies going forward in 2017 we started with one of them which was the sort of the integration between SES platform services and our media and that will continue to generate synergies during the course of this year. And I think the closer buy up now in SES would be, is going to be another –
Karim Michel Sabbagh: Yes, answer this question and then we move onto to telephone.
Giles Thorne: Yes, this is Giles Thorne from Jefferies, I have three questions please. And the first one was on O3b, so O3b so hopefully still see this on the line. Steve, I think it was back in 2015 that you first teed O3b mix and then in the past few months we have had a bit more color provided and an interview you did just in the past week or so. And within that interview you teed the idea of quite a pickup in the size of the O3b consolation not just more satellite to the secretarial plain but also to move into a very inclined orbit. And since we have heard that O3b is all about being scableable is this moving to an inclined orbit going to take us on a departure in terms of potentially new applications or is it going to be more of the same? That's first question. Second question is on video and just to trying and get to really the heart of the issue a much more philosophical question. In your industry and in your developed video market, when you have a customer who has created a huge amount of economic value servicing an end user through a pipe that you own suddenly to start to service that same end user with the same product and for the same price via an additional pipe do we see an economic leakage from one to the other or does your positioning or aspect of your asset back or whatever it is about you does that allow you to stick to your gun to maintain all the economic value that you have created in your particular channel of that value chain. So this is something I don't think truly been expressed as yet and no doubt will be more and more in time? So question around economic leakage and then the third question was just with satellite 2017 around the corner there has been, with you being previously linked doing a global high throughput system into KA, asking one of those come about with comment on the others and it's been suggested perhaps you are stepping away from that idea and generally all the industry is being much, much more cautious about incremental for CapEx in HD systems that with, 2017 few weeks ago would you like that tone for that conversation? 
Karim Michel Sabbagh: Maybe just on the last one. You’ve see in our business model always it's about – it's not about [indiscernible] but I will take the risk it's not only about the technology. The technology is very, very important but it's about customer solution and having the optimum technology to the customer solution and in particular it's about also having the anchor customers. And I think you have seen in our business that whenever it comes to technology we either take a very prudent basis of approach as we did with O3b or we have very important anchor customers in business whom we invest and we sign those customer contracts before we sign the CapEx. And with regard to the technology we have today, we have the HD pay loads coming up, we have the O3b consolation with the satellite is being constantly launched. So and we have the GEO problems that we have been speaking about earlier. So we already have a very, very attractive offering with very good anchor customers and maybe suggest Steve to cover to the next.
Steve Collar: Yes, so Giles we have spoken about this on a number of occasions and including on the Investor Day but O3b was designed right from the very beginning to be an extremely scableable network one that you can build value as demand developed. And that's exactly kind of what we saw with the incremental order of the satellites that as our satellite consolation becomes full we can order incrementally and it's in a very efficient way of doing it and it kind of is [indiscernible] systems where you really have to build the entire network day one and invest all of the money upfront before you are generating a single dollar of revenue. And so, from that standpoint we certainly feel that you have the best fundamentals with respect to launching a network which is right sized at the beginning and then developing that network overtime. It's also true that we secured some very valuable and very prime location spectrum at the most efficient orbital location or the most efficient orbit from a non-GEO stationary standpoint and that enables us to deliver lower capital cost per megabit to orbit than any of the systems and those fundamentals are very important to kind of O3b as a standalone business but when you then put that in the context of all of the SES and the sort of the GEO overlay that we now have the data solutions I think it gives us a better platform to deliver services both now and the future than any other business. So and in terms of kind of what comes beyond the age, yes I mean of course, we are working on plans and we are working on concepts of how we can deliver -- lower cost per megabit, higher capability and provide highly differentiated services. To answer the last point of inclined I wouldn't say that it’s a high, high priority for us today. I think the combination of our MEO orbit and our GEO orbits will be the sort of first point of call when it comes to global networks from our time and so on but we certainly have the option to go inclined in it it's something that certainly in the road-map.
Karim Michel Sabbagh: Thank you, Steve. I will go back to the question about video. And so, the answer to economic leakage is whether you’re differentiated or not and if you remember in my summary slide, the third bullet point was if you subscribe to the features that depreciation rise the preminumization of the value of what you are commercializing then you are going to be in a good place provided that you have that differentiation. And we have it in the case of video because what our network is delivering is the coverage, the scale, the quality of the end product with the end user experience, the reach and the past economics. We have to go back to this. There isn't a single universal distribution network like the one we have that can deliver with the same economy. Think about it in Europe. Less than 50 spent per month on average as cost of distribution. Now as you are doing this through I’ll turn it to linear, non-linear. It is as opposed to having sort of a flat cost that effectively you’re amortizing on a large user base, you are pretty much moving on a linear scale. At that linear scale pretty much has a cutoff point that is multiples of tens of thousands of viewers. Having said that we need -- as being complimentary and complimentary not living in two different worlds, living in fact in the same space. And again I reaffirm by enthusiasm for these type 2 syndrome when it was launched initially because it's really brought to bear all these capabilities together all the advantages of linear distribution over satellite. The sort of terrestrial access, remember the multiple feeds of data and we had a demonstration on this early on and we felt generally that this was the future going forward. And so, as long as we are differentiate in that ecosystems then I think that sort of mutes the economic leakage and you have therefore to be obsessed about how you continue for the future. Hence our drive to HD, Ultra HD, I don't want to start talking about the newest segment but NX1 surprised us during the NFL with virtual reality but it's too early. So let's not carry ahead but that's something we should see. So we are pretty comfortable as to how this is going to play out and there are going to be segments that cannot be reached with the solution that we are providing in the most sufficient manner. And there has to be an alternative company for this and we are very comfortable with it. And again, I would like to appreciate that part of the NX1 work, so [indiscernible] services and RR Media we are ready sort of driving that domain and we are quite successful. And I will move to the second, the last point which is what is our philosophy and at a cost of something like a broken record if you want to think about how you want to deploy our networks going forward they have to be capability driven so what capabilities are they serving in the market and for video, for enterprise, for mobility and for government there may be a common connecting thread but our thesis are increasingly on the same space craft you will have to have capabilities that serve in a differentiated manner with these. So we started deploying this kind of flexibility on our GEO stationary fleet, some of our spacecrafts like SES-12 operates in multiple band in sort of the narrow high – SES-14 has similar comparable capabilities in that range. So we started with the hybrid approach and that I think has been quite successful for us. We will continue to use it selectively but increasingly as we move into data centric application is going to be about the scableable flexible distributed network. The network has to be distributed. If we cannot do that then we are going to fall into some of the – we are going to run some of the pitfall that we are seeing today with the global fleet that have been deployed or designed six, seven years ago and are being deployed. So that distributed network concept is essential to our – is that helpful?
Padraig McCarthy: I think we may have enough time for one question on the conference call.
Operator: And we will take our first question from Wilton Fry from Royal Bank of Canada, please go ahead.
Wilton Fry: Yes hi there gentlemen. Earlier this week Charlie Ergen said he thought it was inevitable that OCT becomes the direct placement for cable and satellite. Obviously, we have also seen Sky talk about the ability to take significant site cost now while using broadband only. Given the yield on your regular 2043 bonds has blown out should we be assuming you are only going to be looking at shorter term duration instruments from now on? Thanks.
Karim Michel Sabbagh: Yes. So Wilton, the correlation between what Charlie Ergen says and maturity on our bonds, so the first question like to make and just to remind you of our financial framework and our treasury road-map we were very consistent the treasury road-map we walk off three of four principles which will continue to prevail one is our long term business. And therefore we walked over the last two to three years to increase the overall maturity of senior debt that is now around eight years we did that while at the same time reducing the average cost of our debt which was 3.87% to-date. Secondly, we keep a good mix between dollar denominated debt and Euro denominated debt so that we match with our dollar denominated EBITDA and Euro denominated EBITDA and you will see when you look at our balance sheet that’s very much to our favor with very important addition for a quarter a billion shareholders equity to good FX management. And then the last point as I mentioned earlier is we keep our maturities on the steady state so that we have at all times also very good liquidity, very good facilities we have in place and the steady state maturity under there is no change in any of that strategy.